Operator: Good day ladies and gentlemen. And thank you for standing by. Welcome to the RiceBran Technologies' 2015 full year financial results conference call. At that time all participants are in a listen-only mode. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Rich Galterio, of Ascendant Partners. Please go ahead, Mr. Galterio.
Rich Galterio: Thank you, operator, and good afternoon listener. Welcome to the RiceBran Technologies 2015 Q4 and full year financial results conference call. With us today are John Short, Chief Executive Officer and President of RiceBran Technologies; Dale Belt, Chief Financial Officer; Dr. Robert Smith, SVP of Operations; and Mark McKnight, SVP of Sales and Marketing. Before I turn the call over to John, I want to remind listeners that during the call, management's prepared remarks may contain forward-looking statements that are subject to risks and uncertainties. Management may make additional forward-looking statements in response to your questions today. Therefore, the company claims protection under the Safe Harbor for forward-looking statements contained in the Private Securities Litigation Reform Act of 1995. Actual results may differ from results discussed today, and therefore we refer you to a more detailed discussion of these risks and uncertainties in the company's filings with the SEC. In addition, any projections as to the company's future performance represented by management include estimates as of today, March 30, 2016, and the company assumes no obligation to update these projections in the future as market conditions change. This webcast and certain financial information provided in this call, include reconciliations of non-GAAP financial measures to comparable GAAP financial measures. And they are available at www.ricebrantech.com on the Investor Relations page. At this time, I would like to turn the call over to John Short, CEO and President of RiceBran Technologies. John, please go ahead.
John Short: Thanks, Rich, and thanks to all of our listeners for joining today's call. 2015 was a year in which we delivered a significant improvement in our bottom line results despite significant challenges. Severe macroeconomic, political, and currency challenges in Brazil resulted in a drop in U.S. dollar revenue, in spite of a 36% increase in local currency sales. Revenue from our USA segment was up only slightly, as revenue related to our largest customer slowed as they completed a relocation into expanded facilities to support growth, and sold off inventory of old formulas in preparation for the launch of a complete reformulation of their product line in the first quarter of 2016. Our quick responses to those challenges, which I'll discuss later in this call, enabled us to produce improved bottom line results for the full year and deliver a strong overall performance in the fourth quarter, setting the stage for a significant improvement in 2016. In Q4 2015, consolidated revenues were 9.9 million, compared to 10.3 million in the prior year due to the reasons I just mentioned. Nevertheless, every other important financial measure improved significantly. Q4 2015 consolidated gross profit rose 200% to 2.7 million compared to $900,000 in Q4 of 2014. USA segment gross profit increased to 34.9%, compared to 31% quarter-over-quarter. Brazil segment gross profit improved 14.5%, compared to negative gross margin in Q4, 2014. We achieved $650,000 in positive consolidated adjusted EBITDA in Q4 2015, with positive contributions from both our USA and our Brazil segments, an improvement of over $2.2 million, compared to the adjusted EBITDA loss of 1.6 million in Q4 2014. And our Q4 2015 consolidated net loss narrowed by 56% to $1.4 million, compared to a net loss of $3.2 million recorded in Q4 of 2014. Looking back on full year 2015, we saw very different dynamics emerge in our two business segments. In our Brazil segment, a 3.8% decline in Brazilian GDP after 15 years of uninterrupted growth, combined with a further 28% devaluation in Brazil's currency placed an enormous strain on our Brazilian operations throughout the year. We responded in the second quarter by significantly reducing overhead and were able to achieve positive adjusted EBITDA in Brazil in the second half of the year. While we're pleased with that accomplishment, the Brazilian economy continues to deteriorate, and Brazil's GDP is forecast to drop another 2% in 2016. In response, we're taking additional measures to further reduce costs and working capital needs in our Brazilian operations, while those difficult conditions persist. In our USA segment, we were able to increase revenues slightly year-over-year, despite the major repositioning of our largest customer and the continued softness in sales to traditional packaged goods companies. We increased our sales and marketing efforts and our tradeshow presence, devoted significant resources to adding new customers to diversity our revenue base, and focused on improving our sales mix to target higher value -- higher margin products, and we continue to carefully manage expenses throughout the year, delivering a $1.4 million reduction in SG&A expenses year-over-year. Our success in those efforts was evident in our fourth quarter performance. Compared to the same period in 2014, USA segment revenues increased by 15%, gross profit increased by 30%, and adjusted EBITDA reached $511,000, an improvement of $930,000 in the quarter. As we move into 2016, we see the improvement in USA segment revenues margins and EBITDA performance in the fourth quarter of 2015 as positive indicators for our business model as we continue to shift sales mix toward higher-value, higher-margin, human ingredient, functional food, and packaged functional food products. Later in this call, Mark McKnight will talk about sales and marketing efforts, and Dr. Robert Smith will comment on the operations and supply chain management in USA segment and new product opportunities in our Brazil segment. I'll stop here, and turn the call over to Dale to comment on our full year financial results.
Dale Belt: Thanks, John. For the full year of 2015, consolidated revenues totaled 39.9 million, compared to the 40.1 million recorded in 2014. Our consolidated operating loss narrowed by 56%, to 6.3 million for the full year in 2015. That compares to an operating loss of 12.8 million in 2014. We recorded a consolidated net loss of $0.90 per share on 9.2 million weighted average shares outstanding in 2015, and that compares to a consolidated net loss, of $3.96 per share on 5.8 million weighted average shares in 2014. The basically flat consolidated revenues was the direct result of the negative effects of the Brazilian recession and currency collapse on our Brazil segment revenues. The 28% decline in the Brazilian real versus U.S. dollar exchange rate for 2015 resulted in a $6.7 million negative impact on U.S. dollar-reported results for Brazil. As a result, reported full year Brazil segment revenues were down by 2.4%, to 16.6 million. However, on a local currency basis, Brazil segment revenues actually increased by 36%. For our USA segment, revenues were only up 1% for the full year due to the customer repositioning, mentioned by John earlier. However, it's important to note that fourth quarter revenues were up by 15% year-over-year and we see that upward momentum continuing into 2016. Consolidated gross profit in 2015 reached $8.1 million. That's an 81% increase, compared to consolidated gross profit of 4.5 million in 2014. We achieved a nine percentage point improvement with consolidated gross profit margin rising to 20.1%. Our Brazil segment went from a negative gross profit in 2014 to a positive gross profit of 3.9% for the full year of 2015. That represented an improvement of almost $3.2 million. Because of the persistent challenges in Brazil, both economically and politically, we are continuing our efforts to cut costs and take whatever additional steps are necessary to simplify and streamline operations with the objective of reducing both management complexity and working capital requirements in Brazil. Gross margin from our USA segment improved by 1.6 percentage points to 31.8% with gross profit reaching 7.4 million compared to 7 million in 2014, that margin improvement is due to the continuing shift in our sales mix toward human nutrition, functional food ingredient and packaged functional food product. From a balance sheet and liquidity perspective, we ended the year with approximately $1.1 million of cash on hand. In addition, this past Thursday after nearly five years of arbitration in Brazil and court proceedings in the U.S. we successfully obtained the release of the restricted cash that was previously held in an escrow account at a U.S. bank. These escrowed funds totaling $1.9 million were placed in escrow as part of the 2008 acquisition of Irgovel; our Pelotas, Brazil bio-refining operation. We utilized these funds to pay down $1.3 million of debt and increased cash for working capital purposes. In February of this year, we completed the capital raise that provided net proceeds of $2.6 million. Upon closing of the offering, we contributed $500,000 of additional capital to our Brazil subsidiary, Irgovel, to support operating and working capital needs. We intend to use the remaining capital to support our U.S. operation including our new distribution arrangement with the Narula Group, which Robert will discuss in a few minutes. And with that, I will turn the call over to you Mark to discuss sales and marketing.
Mark McKnight: Thanks, Dale. Our sales and marketing team continued to work at full speed throughout 2015 and especially during the fourth quarter. We increased our tradeshow presence, increased the frequency of face-to-face customer interaction, and launched a large number of new product development projects. We increased our tradeshow presence by almost 50% throughout the year and RiceBran Technologies resided in 17 different trade journals during 2015. This focus on increasing awareness helped us acquire more than 80 new customers in 2015 and each of these new customers has purchased either our proprietary and patented rice grain ingredient and/or our healthy natural finished functional food product. One of these new customers is a small footprint retail chain with stores located throughout the United States and Canada, that retailer launched four SKUs of nutria-cosmetics products and is currently working with us to develop five additional SKUs. In December we entered into a strategic supply partnership with Kentucky Equine Research or KER to target the high-end equine market. Under the terms of that supply agreement we are the exclusive rice bran supplier to KER partners, Dr. Joe Pagan, Founder and Owner of KER is perhaps the leading authority globally on equine nutrition. Dr. Pagan is the nutrition advisor to Global Olympic Committee, the U.S. Olympic Committee and the United States Equestrian Federation. He has developed nutrition programs for American Pharoah, the 2015 Kentucky Derby winner and other world class competition horses. Our new KER partnership is already had a significant positive impact on our ingredient sale for animal nutrition and its healthiness gained traction in both the large animal and companion pet market. The RiceBran Technologies sales team now has strategic team members located throughout the United States with extensive experience in the market for human food ingredient, functional food ingredient, sports nutrition, non-dairy beverages, finished functional food and animal nutrition products. As mentioned in our November 2015 conference call, October of 2015 was the largest sales month in the history of USA segment with the large number of new customers and numerous product development projects in our sales pipeline, our entire team is focused on meeting and consistently beating that milestone to deliver more monthly records throughout 2016. I will now pass the call over to Robert to discuss operation and R&D.
Robert Smith: Thanks Mark. As a result of our efforts to improve our supply chain throughout 2015, production and warehousing of stabilizing of rice bran and our California and the Louisiana facility was able to keep up with customer demand and provide necessary feed stock, produce our derivatives that our Dillon, Montana facility throughout 2015. As part of our continued efforts to ensure both short and long-term raw brand supplies in the U.S. we renewed a multi-year supply agreement in December with one of our large milling partners in the Sacramento valley. Talks are ongoing with other mills to add additional stabilization location in California and in the Mid South as we plan to future growth and sales of our stabilized rice bran and derivative ingredient. However, with the improving drought conditions in Northern California, we believe we currently have adequate supplies of raw brand for the foreseeable future. Similar efforts were underway late last year to secure and stabilize raw brand in Brazil for oil extraction and for production of value added food ingredient. A stabilization facility used in RBC extrusion technology is now producing full stabilize rice bran as a cooperative located 500 meters kilometers north of our Pelotas Brazil rice bran bio-refine, that newly established facility is producing a new high quality and high low acid bran, that is now being used to supply Irgovel with stable, low acid rice bran for oil extraction and will allow Irgovel to enter the Brazilian food market, stabilize rice bran and rice bran derivatives when market conditions improve. In February of this year, we entered into supply agreement with Youji Company Limited subsidiary of the Bangkok Thailand based Narula Group of Company. The Narula Group is Thailand's largest producer of organic jasmine rice and a producer of other organic agriculture products, including organic chia, kale, and coconut among other products. Under the terms of the agreement, RBC has exclusive right in most major global market to sell organic rice bran products from the Narual Group and has established a marketing joint venture to distribute non bran organic product in North America. We expect sales of organic bran and other organic product begin in second half of this year. A portion of the organic rice bran received under these agreements will be sent to our Dillon, Montana plant for processing and certify organic rice bran derivatives. I will stop here and hand the call over to John for some closing comments.
John Short: Before opening the floor to questions, I want to make a few summary comments on each of our operating segments. Our Brazil will continue to a challenge in 2016 in the face of expected continued economic deterioration we will have to carefully manage our way through a difficult economic and political environment that continues to put pressure on our Brazil operation. Nevertheless with our expansion complete, we are able to operate the plant at and above post expansion target levels of 300 tones per day of our rice bran processed, so we are in a position to respond quickly when economic conditions in Brazil improve. Our USA segment is well positioned to take advantage of strong and improving trends in the natural organic and functional food markets in the U.S. and other developed markets globally. According to the Next forecast 2016, published by New Hope Natural Media, sales of natural organic and functional foods reached a $110 million in 2014 or 15% of total U.S. food and beverage sales are the fastest growing segment in U.S. food and beverage market, and are experiencing double-digit growth. Within the natural organic and functional food segment, non-GMO products are gaining ground even faster. RiceBran Technology's proprietary and patented products are non-allergenic gluten and soya cream minimally processed, all natural non-genetically modified and vegetarian vegan meeting all of the major criteria demanded by the consumers in the fastest growing segment of the U.S. food market. The agreements reached with the Narula Group set the stage for further group by adding organic rice bran and other healthy natural and organic products to existing product offerings. This puts our company in a neat and better position to take advantage of rapidly developing consumer trend, away from dietary supplements and toward healthy whole food nutrition through functional foods and ingredients. Our recent capital infusion in February will provide working capital to take advantage of these market opportunities in coming quarters, helping us further as we head into 2016 is the marked improvement in the drought situation in California. The El Nino weather system has delivered considerably more wet weather through this year's winter, especially in Northern California, where rice is grown. The significant rain and snowfall has lifted the state's three largest reservoirs to above-normal levels, and has brought the snow pack to nearly average historical depth. The rice industry expects water restrictions in the area will be reduced this season, and plantings are expected to increase for the first time in a number of years. California bran prices have also moderated, creating a favorable tailwind for our USA segment, in 2016. The momentum in our USA segment in Q4 of 2015, and the strong start we are seeing in 2016 validate the market opportunity in natural, organic, and functional foods. We expect our USA segment to continue to build in line with those market trends in the first quarter, and throughout 2016. That concludes our prepared comments. Operator, at this time please open the call for questions. Note that we'll limit callers to one initial question and one follow-up.
Operator: Thank you. We'll now be conducting a question-and-answer session. [Operator Instructions] Our first question today is coming from Anthony Vendetti from Maxim Group. Please proceed with your question.
Anthony Vendetti: Sure, thanks very much. I was just wondering, for Mark, if you could talk a little bit more about the new customers that were added. You said 80 new customers added in 2015; and also John you mentioned that things are now complete with that large customer, and re-launched the product -- the reformulated product successfully in February. Can you talk about what that could mean for the U.S. segment, which seems to be growing faster now and a little bit ahead of our expectations?
Mark McKnight: Well, Anthony, thank you for that question. RiceBran Technologies as many of you know has unique and proprietary healthy ingredients, and part of our challenge as a company has been getting the story out. Food scientists who went to school, 15, 20, 25 years ago have never really heard of RiceBran in the context of a healthy functional ingredient. And so, I believe that our company has done a great job the last two to three years of really getting the message out. We increased our tradeshow presence by almost 50% in 2015 over 2014.
John Short: Mark, just to give them a sense, how many tradeshows are you guys doing in the next 60 days?
Mark McKnight: In the next 60 days, we probably have 26 or 27 events that we will be at, our sales team. So we're talking about going from 17 to 20 events in 2013, to close to 35 to 40 in 2014 and almost 60 in 2015.
John Short: And we'll double that this year, yes.
Mark McKnight: So the message that all white rice starts as brown rice is something that most people don't know. Everybody knows that brown rice is healthy, and white rice is high glycemic and not nearly as healthy as brown rice, but they don't know why. And the story of RiceBran Technologies is a simple story, we capture the nutritional part of brown rice, and we turn it into functional healthy ingredients. And I feel like that story has been very effectively communicated. Our marketing group has done a fantastic job, both our in-house marketing team and graphic art team, as well as consultants that we work with, and the story is engaging to journalists, and that' where the articles come from. We were published in 17 trade journals in 2015. Those are journalists who thought our story was compelling and interesting, and they wanted to write about us. That's significant. And I feel like our…
John Short: And those are unpaid.
Mark McKnight: Those are unpaid. Yes, those are unpaid. And so, I feel like that strategy of giving our core message out has worked. June [ph] Park and Patrick Kuruc called me earlier today because they had been at the Clean Label Conference in Chicago, Illinois. Our company sponsored the Clean Label Conference, and they had approximately 300 industry executives listening to that story of our nutritious, healthy, rice bran ingredients. So, those 80 customers represent a lot of food ingredient customers who are interested in putting rice bran into formulas such as breads. We have one large manufacturer of confectionary products that are looking to create more healthy confectionaries with our rice bran. We have some of the -- one of the largest sprouted grain bread companies in the world, who has started to put our rice bran into some of their sprouted grain gluten-free formula. So we are getting the message out, and we're starting to see that in these customers that are coming onboard. The only frustrating part from the sales team is we don't control at the end of the day how much they spend with us, but we do control our message, and we do control effectively communicating that message, and I believe that these 80-plus new customers are a direct result of that communication, and I see the same thing happening in 2016.
Anthony Vendetti: What is it, Mark? So 80 in 2015, what was it -- how many new customers did you add in 2014?
Mark McKnight: Approximately 50.
Anthony Vendetti: Okay.
John Short: But Anthony, this is John, I think it's fair to say that the momentum in the USA segment that is clear in Q4 of 2015 remains -- it is actually getting stronger as we move into 2016.
Dale Belt: Hey, Anthony, this is Dale, just one little financial perspective on your question. Obviously everyone would like to know, and if we had a crystal ball that worked, we would know, but how much does this new -- how much in revenue does this new customer base -- what's a reasonable expectation? And it's very difficult to predict that, because you could have some extremely large food companies that you guys would know the names of if we name them, but you typically start with one item and put our stuff in it. And if they have success with that item, and it functions and works well and accomplishes whatever it is they're trying to accomplish, they'll roll it out to more SKUs [ph]. So it takes a little bit of time to see these new customers move the needle from revenue.
Anthony Vendetti: Okay, that's helpful. Thanks.
Operator: Thank you. Our next question is coming from George Johnson from RiceBran. Please proceed with your question.
George Johnson: Yes, John, I'd like to kind of combine some old deals with new deals, as newer [ph] the deals sounds interesting, my kind of question is the price of this red rice bran is very expensive, but will that be tied into some of these old deals like Revita [ph], Beano [ph], NutraBio, and so on, are they going to maybe increase sales in those areas?
John Short: Yes. George, I think the organic bran that comes from Narula, whether it's the red bran or the jasmine bran has got to be targeted at customers who are not traditional customers of our non-organic products. There maybe a little bit of crossover. We'll have to see how that sorts out, but as you can imagine if you look at that -- so the next forecast for 2016 is an industry forecast that's produced by New Hope Media, referred to it in the prepared remarks, and it's a very extensive forecast of the natural organic functional food markets, [indiscernible] et cetera. There's a huge amount of data in there. What we know is that the market for organic is growing double digits. There are a lot of people knocking on the door that's got to peer out with the best combination of products and customer for us is. As Robert says, we expect a good portion of the organic bran to be moved through Dillon to produce organic RiSolubles and RiFiber and RiBalance and even derivative products, our P-35 protein products and other things. So it may not be the usual suspects, the same customers that have used the non-organic bran, but in some cases there's clearly interest, and in some cases there have been some crossover.
George Johnson: Okay. And a little bit more on old deals, is rice lecithin in candy, is that still on the table with anybody still testing that? I think the rumor was Cadbury had them, just for example, as a big company?
John Short: Well, so we don't respond to rumors.
George Johnson: I know, but we're really looking at…
John Short: I'm teasing. We're selling rice lesser than out of Brazil. Now, the bulk of what we're selling is going into Europe. It's not going to a single customer, but there is absolutely interest in rice lecithin, because it's non-genetically modified. Dale [ph] mentioned earlier that's the fastest growing segment of this whole natural foods market is the non-GMO piece, and so there's a lot of interest in that and we're selling what we're making, yes.
George Johnson: And Wilmar is dead?
John Short: No, Wilmar is not dead at all. There's a lot of work being done on product development, everything is with the Wilmar. It's certainly not moving as quickly as maybe we would like to see, but for right now, our focus is on the U.S. market. There's no question that the U.S. market for natural organic functional foods is the fastest growing market in the world. I don't know if you guys looped -- connected the dots, but sometime last year, off of the similar forecast we had said we thought that that natural organic functional food market in U.S. would hit $74 million in 2014, and it hit $110 million. It's totally outgrowing itself. It's exploding. And so, we're very, very focused on that opportunity in the U.S. market, and we're starting to get some very nice traction. We're seeing that interest also coming from Europe, coming from some of the advanced economies, coming from Japan, Korea, Taiwan, et cetera. And interestingly, we're seeing a lot of interest in some of our derivatives from people who would like to bring it into China. Now that's something that we'll -- we're working through the Wilmar guys. It's a little further out that some of the immediate stuff here, but there are opportunities in all of those markets. And Wilmar -- no, Wilmar is not dead.
George Johnson: Okay, I've taken up enough time here. Let somebody else call in.
John Short: Thanks, George. We appreciate you participating and bringing the questions to the table.
Operator: Thank you. Your next question is coming from Harry Glodsholl, a Private Investor. Please proceed with your question.
Harry Glodsholl: Hi. I must say I'm somewhat disappointed that revenue didn't really grow from last year. In fact, it dropped. I guess the good news is that the net loss also dropped, but looking at revenue over the last four years, it's basically flat. Yet the share price has been diluted by over 90% due to a large amount of CapEx spending. And I'm wondering what you can do to alleviate the share price. We're just not seeing the growth. We've seen lots of spending in expanding capabilities, but that -- the sales revenue has not increased to meet that capability. And secondly, last quarter, you mentioned some booming first two months of the quarter, yet the fourth quarter wound up flat-to-down, as well as the, not hearing any reorders on the nutricosmetic side of things. Is that just such a slow growth area or is there some hope for that?
John Short: Yes. So, Harry, you have several points. Let me see if I can address them one-by-one. Maybe I'll do them in reverse order. I don't think we said there weren't reorders on nutricosmetics. I'm not sure where they came from, but we certainly do have reorders in nutricosmetics, and that business is starting to build; a bit more happy about it. If you look at the quarter [ph], we also mentioned that on the USA segment, the quarter is up 15% year-over-year. We're actually very happy about that as well. We have very nice momentum coming into this year. There is no question that on a consolidated basis, the sales were flat. I mean, we were 39,997 versus 40.1, and yes, they're modestly down. I think Dale tried to explain in his prepared comments that a lot of that is related to currency in Brazil and the investments were made in Brazil. I think the real was 1.08 to the dollar, and through the end of the year it was 3.7. It reached 4 or 4.17. So there's a huge currency impact there. That doesn't -- I'm not making excuses for the fact that revenue was not up, we are not at all pleased that revenue was not up in the full year and we are focused on driving revenue and actually driving profitable sales. But if you look at, there has been a lot of CapEx -- capital investment to expand Dillon, to expand the healthy natural plant in Dallas and of course to expand the operation in Brazil with the problems down in Brazil, that currency deterioration means, I mean we were up 36% for the year, down in Brazil, but we were actually down in U.S. dollars because of the currency moves. So there are moving parts Brazil in a challenge, it's going to continue to be a challenge in 2016, but nevertheless when you look at what's going on in the U.S. side of the business, our USA segment is trending in line with the market opportunities and we expect that to continue and even build into 2016. Where Brazil -- we are in the foxhole, right, Brazil is very, very difficult for hunker down working to ride out the storm, but as I said in my prepared comments, we completed the expansion of the plant down there and when things start to turn economically, we will have the opportunity to respond quickly to improvement in the local economic environments there.
Harry Glodsholl: Will there be any benefit off the Brazilian operation and using those dollars to expand, where it's really profitable?
John Short: Harry, those are absolutely fair questions. They are the kinds of questions we discuss regularly at our monthly Board meetings, and when you look at a situation like the one in Brazil, in a economy that grew for 15 years, Brazil was one of the BRICs rising star with that kind of stuff, and then it fell off at the end of the table. Yes, the situation is ugly, but my sense is and I think this a sense that shared by our Board and the management team here. Now is not the time to sell the plant is stable, is expanded, it's very stable, it can run at 300 plus tones a day. There is some dislocations that come from these economic events, that are maybe no so obvious to people. Probably the biggest dislocation comes from the fact that when the currency deteriorates, rice farmers in Brazil have an incentive to export their rice in husk, because they get more money for it, rather than selling to local mills, who will mill it and give us bran. Right now because of the currency has devalued so significantly, there is a huge amount of rice being exported in and the availability of bran in Brazil is very tight, that's driven a little bit by the seasonality, Brazil is just coming into harvest now they will be harvesting in the next six to eight weeks, there will be more grain sort of the thing. But the economics do drive dislocation into the domestic economy and one of the things we are challenged right now is difficulty getting all the brands, we would like to have because rice is going out of the country in whole grain. So if the currency -- the currency has started to move back the other way just a little bit recently with the announcement that things are going to impeach the President, and she maybe out by May 4, right, who would think that is good news, but the market actually thought that was good news because the market likes stability. So we saw the currency move from 417 at its all-time low to -- I don't remember, 359, 365 something like that over the last couple of days, they see it everyday and it bounces around. But who would have found that impeachment would drive the BOVESPA up 6% or 8% and the currency up, right. So there is some real ag things going on there for now. Harry, specifically to your question we do not believe it would be appropriate time to sell the business, but things get worse and worse and worse at some point in time you would say, doesn't make sense to continue to invest in it, we are not there at this point in time, but those are fair discussions to have and we have them on an ongoing basis.
Harry Glodsholl: Yes, would you consider temporary shutdowns there to save money as long as you don't have product available for processing and then perhaps…
John Short: Harry, those are kind of day-to-day operational things that the management deals with. We are very involved. Harry, we do all of those things today on a regular basis in response to bran availability and other things that are going on at the market. Yes, we consider all of those…
Harry Glodsholl: Yes, you mentioned 17 trade journal articles, yet I haven't seen a single one in the financial arena and don't you think that would help to bring that message out that lots of exciting things are happening?
John Short: Absolutely. Next week, I am going to be in New York actually presenting at Institutional Investor Conference that Maxim is putting on. We will be at presented at a conference in Florida, put on by SeeThruEquity and The Borough Group, three or four weeks ago. We will be at the Marcum Event in New York at the end of May, beginning of June. Yes, we think those things are important.
Harry Glodsholl: Okay, and one last question is, are you at a point where you are ready to make projection again for the coming year, or have you abandoned that altogether?
John Short: Harry, can you tell me what's going to happen in Brazil in the next six months?
Harry Glodsholl: Yes, the sun will come up and the sun will set.
John Short: We can make that prediction.
Harry Glodsholl: Yes.
John Short: No, we are not.
Harry Glodsholl: Okay. Very good, thanks.
John Short: Yes. We appreciate, Harry, good questions, and we appreciate the input. Thank you.
Operator: Thank you the next question today is coming from Greg Hillman from First Welshire Securities Management. Please proceed with your question.
Greg Hillman: Yes, hi. Good afternoon.
John Short: Hey, Greg, how are you?
Greg Hillman: Good, thanks. Just a couple of things, for your Brazilian sales what percentage of your Brazilian sales are into the Brazilian market right now?
John Short: Roughly 63/37; 63 domestic, 37 export.
Greg Hillman: Okay. And those machines you have, that take the husk off to create rice bran how many do you have and how many are being utilized right now and where, what's going to happen to the un-utilized ones?
John Short: So we have extruders operating in Brazil in the U.S. and in China. We have for the most part multiple extruders in all locations except the one we just opened up down in Brazil. We always have a number of extruders, these are made in house, so they are trade secret, we send parts and pieces out to be made, we have a stock replacement, wasting resources, we have a stock replacement machines that we make available to these guys and so when we look at locations Greg different locations make take two, three, four or even five of these things, set up and series, to produce but some locations may do only one or two. So it depends on the size of the mill, it depends on how much bran is available. It depends on a lot of different things, but we don't take husk just to be clear, we don't take husk off of rice, the mill buys the rice, they de-husk it, they mill it to take the bran layer off and what we do is we intercept that bran layer just as it comes off the white rice endosperm and we run that through our extruders immediately to deactivate the [indiscernible], because it causes it to degrade. So we are trying to do is capture the highest value component of the rice kernel as soon as it mills and while we can retain the vast majority of the nutritional value.
Greg Hillman: Right. I mean, how many of these extruders are on utilized right now? How many with the total number and how many are not being used currently?
John Short: Yes. We don't think of it that way. We have back-up. We have back-up parts and pieces that we can assemble to make a new extruder to-date, takes a week to build one, but we don't view them as unused. All the extruders that are installed in all the locations are working.
Greg Hillman: Okay.
John Short: None of them are unused.
Greg Hillman: Okay. And then, you know, if I was going to ask you what's the -- what would you consider your constraints to growth are at this point?
John Short: The Brazilian real is -- I'm saying that a little bit preciously, you know, we grew 36% in our U.S. dollar sales growth. So, obviously the extremely high cost of having of trying to hedge a position in Brazil makes it unrealistic. And as a result, we are exposed to the movements of the currency. So that's the problem with the operation down in Brazil. Right now when we look at the USA segment, the opportunity is not only in the North American market, but in Europe and Asia. It takes time to sell in, but we're actually quite excited about where we're. The business is gaining nice traction; moving forward quite quickly in functional food ingredients, packaged functional foods, as well as our traditional RiceBran ingredient size. All of the pieces of the business are starting to move nicely, and they are excited, and we are excited about that. We are also excited to start adding organic, because that's something we haven't had in the past, and we have our customers constantly pushing us to find sources of organics. So the deal we just signed with the Narula Group is February will be a very nice add to the product portfolio, and it will start to add to revenues and margin in the second half of the year.
Greg Hillman: Okay. And can you get traction with the major customer, not to your press release on it, you know, like for the share if something starts happening like the kale product is really selling through? Well, and then it's causing your orders, you know, your sales awful lot, would you just -- would you have to do your press release or can you just…
John Short: Yes, great. For the month, it's interesting; I will give you a couple of examples. We have stuff, we have as Mark said, a very, very large number of product development projects in the pipeline. So we measure a bunch of things, right? Every week, we are -- daily, we're tracking sales, and weekly we are tracking sales and customer visits and all of that, but Mark mentioned a number of 80 new customers who bought stuff this last year. Those customers range from very small single-store health food stores to multibillion dollar food companies. They will start up the same way. And so, when you look at what happens, we get small initial orders. Where those purchase orders come from? They come from product development. So we look at our product development pipeline any point in time, we say how many -- who are the customers on our target list and what projects do we have in the pipeline. We're actually developing product for a specific target for those customers. And right now, I don't know the last one we said, Mark, we had more than 60 product development projects in the pipeline, aside from the 80 new customers. So when you start to look at how those things actually convert, Greg, they convert as the product development project turns into a purchase order. Now, we have -- I'm doing this from memory, but I'm going to say we have at least six product development projects with customers, with sales, better in multibillions of dollars, right? But again, you are developing for a specific product when you go forward. None of those people, we signed -- before we start we signed confidentiality agreements, nondisclosure agreements, they tell us we can't use their name in any of our advertising, we can't share any of the product formulation data, et cetera. And just imagine, right, that -- and that is their arrangement by the way with all of their suppliers. We have one project where we know the company has 10,000 vendors, all of whom who have signed the same agreements that we've signed, and we were one of 32 of those vendors picked to develop ingredients into healthy snacks for them. They are no more going to let you see what their name. Then, they're going to flight the move. The different situation occurs, we recently issued a press release that Mark talked about earlier, with Kentucky Equine Research. In that situation you have a company, which is clearly at the top end of equine nutrition globally. Dr. Pagan is the man, right, and our association with him is great, but that's more of a strategic partnership where we mutually agreed in advance that if we got the deal together we would be in a position to make announcements to the public. So really it depends a lot on who the counterparty is, and what the nature of that relationship is, but for the big guys, you know, imagine that -- doesn't matter who it is, Unilever or Nestle or any of those guys allowed their vendors to use their name in marketing and advertising, it would be hundreds of thousands of times a day. And they just don't permit it.
Greg Hillman: Okay, great. And then finally, Dale, could you just review the financial situation in terms of fixed and working capital requirements necessary to support growth, and that financing you just did and the money that's coming in with that court settlement, whether that will hold you well for this year with your burn versus your cash, given the lumpy nature of the quarter? Can you just give the bird's eye view of that whole thing?
Dale Belt: Well, the summary view of it, I would refer to my prepared comments in the sense that we feel like we have adequate working capital right now going forward. We've got $3 million in cash in the bank as we sit here today, and a working revolver line that have some availability on it. So for U.S. purposes we feel like we've got what we need going forward. You mentioned burn, and I would say that we're at a point now where we are not burning cash in the U.S. We may have one nostril above waterline when it comes to looking at EBITDA and debt service. We've already as everyone I think who has been following us recently knows we just underwent spending money last year on CapEx and improving our plans. So we don't have any major capital projects on the drawing board right now. So we've already done that. And actually I'm glad you raised that point, I do think it's important to make one point is that, you know, the CapEx spending that happened at the plants last year, you have to remember that for almost four years, for sure, we spent nothing at our plants on CapEx for four years, and we were just trying to hang in there and survive the economy and everything else and coming out of a restructuring effort and so on. So while, yes, we spent a couple million or more at our plants at that point in time, that was the backlog of a lot of things that really needed to be done on top of the fact that regulatory laws were changing and we have to respond to that. As a food manufacturer we've got to meet those wrecks. So, all of those things were addressed last year on CapEx. The good news is that we don't have any major going forward. We feel like we're well-positioned, and bottom line is we just need to sell more in field capacity, simple as that, and we will be fine.
Greg Hillman: Okay. How much is your backline right now?
Dale Belt: Well, it's an $8 million facility. There is a term loan that we just paid down a million, down to 1.5 million, and then we have a working capital revolver that's kept at 3.5, and it's an asset based lending facility inventory and receivables. So, obviously that fluctuates.
Greg Hillman: Okay. Okay, but anyway the situation, given what's happening you would expect those things, the base strength the financial base of the company. So you could maybe do more things by the end of the year?
Dale Belt: We will cross that bridge when we get to it. It depends on what's going on. It's hard to say.
John Short: Yes, but Greg, just generally what we saw at the end of the year in Q4 in our USA segment particularly is positive, and we're seeing the same thing as we maybe they're spending on steroids as we move into the first quarter of this year.
Greg Hillman: And then Brazil -- and can you get the Brazil burn down the cash, I think you are trying to manage that downward, whatever the burn is in Brazil right now?
John Short: Brazil -- so, we all lived through 2008 and 2009 in the U.S., and we understand what happened to the economy of the banking system, availability of financing through lenders and all that kind of stuff. Brazil is in that mode right now. They actually didn't live through that, because they were writing the tail of the big oil find, huge investment, one of the BRICs growing at 5%, 6%, 7% per year, whatever their deal was. So they didn't suffer at that time the way U.S. did. In Brazil today, everybody talks about the commodities, supercycle, and the fact that global commodities pricing are -- prices are collapsing, slower growth in China, oil prices have come off, and Brazil is now going through -- this is my view, right, is going through the version of what we lived through in 2008-2009. That is a very, very difficult situation for everybody, not just for us, but we're suffering along with everybody else. And our approach I mentioned earlier is to hunker down, manage the heck out of cost expenses, overhead staffing levels, all of that, and work our way through a very difficult period. We will have to just see how well that stuff sorts out. My wife tells me my crystal ball is made of onyx, so I'm not going to forecast the Brazilian economy back to Harry's question from earlier, but our view is we can hunker down and write it out as we sit today. If the -- we saw the currency actually appreciate very significantly, this last couple of weeks, we saw the stock markets start to make a come back, we saw with things that are happening in the local political environment. So if things improve, that's good for us. If things fall up the table another notch, then we are going to have to go back and ask the questions that Harry was asking earlier; you know, is it better to sell that off, is something else et cetera? That is not where we're today. We want to be 100% clear, but we can't forecast any better than anybody where this is going to go. We didn't forecast that oil was going to go from $110 to $80 to $50 to $30, right? And now we're all living with that. So, where we're going to go in Brazil, we don't know. We are going to manage it day-to-day. We're all over it in terms of the way it is being managed. It's being managed very, very closely on a daily basis, but where that's going to take us, I don't know. I would love to say the bottom headed up and if that's true, that's a good thing, but I can't say that.
Greg Hillman: Okay. Thanks for all of your promise.
John Short: Yes. We appreciate your input as well, Greg.
Operator: Thank you. Our next question is a follow-up from Anthony Vendetti from Maxim Group. Please proceed with your question.
Anthony Vendetti: Yes, just a couple of quick questions, Dale, you mentioned the number of shares; did you say 9-9.2 million for the first quarter?
Dale Belt: Well, that's the weighted average shares utilizing calculating EPS. We currently have approximately -- I'm going to round up to the nearest 100,000. We have 10.5 million shares outstanding right now, and that's on the phase of our 10-K by the way.
Anthony Vendetti: Right, right. Okay…
John Short: Anthony, that is also post the deal that was done with the Narula Group, and just to be clear the way that deal was done is they are giving us product effectively across, there is a credit for an agreed margin, and they have -- the essence of the deal is they have the right to buy shares, they do it always at $0.90 a share based on performance. So the number that Dale just mentioned, which is the 10.5 million shares includes, I'm going to say this, Dale, you will correct me, 950,000 shares related to Narula deal that are actually set aside in escrow technically issued, because they are issued into the escrow and they are sitting there till the year end over time as this deal performs at a price of 280 a share. Does that make sense?
Anthony Vendetti: Yes, yes.
John Short: Okay.
Anthony Vendetti: So, Dale, just for the fourth quarter, the 9.2 million used to calculate the loss per share, what did you -- what was the fourth quarter EPS number?
Dale Belt: Anthony, I would have to calculate EPS for the quarter, I don't -- I would have to look, I don't know.
Anthony Vendetti: Okay. But $0.90 was the loss for the year, correct?
Dale Belt: Correct. That's correct.
Anthony Vendetti: Okay. And then, just a question on the margins, it looks like the gross margin was better than we expected, is that due to lower cost for raw RiceBran, or is that a combination of lower cost as well as you getting higher prices for your products?
John Short: Well, it's a couple of things; it's not any one big thing. It's two or three combined. Bran costs last year slowly and steadily came down, and I believe if I have the chart in front of me, I believe from memory the second half of the year just sort of remains stable, and it was -- they were pretty good prices, all in all, and that's California and Louisiana, both. What we've noticed here just in the last -- early part of this year is that it's ticked up a little bit in California, and in Louisiana it has ticked up, I would say, I don't know, 10% or 15% above what it was near the end of last year. So we're keeping an eye on that. So, one item was bran costs were little better than we had budgeted, all of last year. The other thing is that it's a sales mix issue for us. The more and more you shift towards our derivative products, and the more and more we formulate and make finished products in our contract manufacturing group that utilize high inclusion rates of our ingredients, where we kind of get a double impact, if you shift towards those items, then our margins goes up as well. And the other -- the third issue, which is one that most people don't see, but for me sitting here in my seat is something I constantly monitor and keep an eye on is the capacity utilization and use of our manufacturing facilities that we own, and that would be primarily our Dillon facility and our Mermentau, Louisiana facility. When we are running those plants efficiently and driving good volume through there, we do well. And the reason that is more true for us than maybe your classic widget maker is that we have a certain sunk fixed cost of running those facilities with labor and people. And whether we're running all out or at half, those costs don't change much. So, by running a lot through those facilities we see a nice uptick for our margin. And that is clearly what we have said for a while now in our conference calls that we are attempting to do. We put some money into our facilities, we skip them up and increased our capacity, improved some machinery issues that we needed to deal with, and we need to fill that capacity.
Dale Belt: And as you mentioned earlier, we upgraded our compliance with the new…
John Short: Right.
Dale Belt: With safety modernization upgrades, which is significant time, and people spent…
John Short: Yes. So Anthony, those three items are what really are moving the deal for us.
Anthony Vendetti: Okay, great. Thanks, that's helpful. Just lastly on the Narul Group deal that you struck, that sounds like based on everything that we've looked at, it looks like something very positive four company, was that a competitive bid, it looks like a good win for you guys?
John Short: It's actually a good win for us, and it was -- I won't say exactly a competitive bid, not in the sense that you think of you know, what Unilever does when they put out a bid for our ingredient. But they had options to tie up all of their organic with multibillion dollar companies, and they actually decided to go with us, because there is -- I would say a philosophical meeting of the minds. And when I say philosophical meeting of the minds, one of the things that we like about our business is we are taking a waste product that you can do a lot of around the world, you can do a lot of good things with it around the world, you don't need any more arable land, you don't need any more water, you don't need to put any more fertilizer out in the planet, down in the rivers, in the ocean, all of that kind of stuff. We can take an existing resource and convert it into a bunch of very healthy cool stuff. The guys on the other end of this, Arvind Narula, who is the Founder, is very committed to what we would all describe in our market as social impact investing and making sure that you do good and do good. So make your businesses perform and do well and put some of that back into the communities that you are working with, to enable your companies to do good. So I think the fact that we have the same philosophical approach to business and the environment in these economies generally was quite clearly a big part of the decision. He could have done a deal with much, much larger, much stronger financial partners and decided to work with us. And we are very happy about that. We think we have a great partner.
Dale Belt: And Anthony I think a very important point for all to keep in mind which goes back to your earlier question is that those shares that are in escrow have to be earned, and they will be earned based on this deal performing, and if it didn't perform, then the shares are not going to be earned. So, one of the internal debates that came up when this deal first started taking shape in this form was, you know,, are you really going to give 150,000 shares to somebody, and the answer was absolutely yes, because if this thing does what we hope that it will and he earns all of those shares, it will be a win, win, win all the way across the Board for everyone.
John Short: And that the ultimate outcome of that, and Dale, I am way out of my league here, but I'm going to say it is that assume that over the course of the first six, 12, 18, 12 months, all of those shares are earned, that will result in an increase in our net equity of…
Dale Belt: Couple of millions, two more…
John Short: $2.5 million-$3 million, because the effect of that transaction is that Narula Group is buying equity at $2.80 a share.
Anthony Vendetti: Okay, great.
Dale Belt: And Anthony, we are buying product that is ready for sale, we are -- unless we decide to make a derivative out of it.
Anthony Vendetti: Okay.
Dale Belt: So, this is not a cost issue for us.
Anthony Vendetti: Thanks, guys.
John Short: Yes, thank you.
Operator: Thank you. Our next question is coming from Gary Herman from Strategic Turnaround. Please proceed with your question. Mr. Herman, your line is out live. Perhaps your phone is on mute. Please proceed with your question.
Gary Herman: Yes. Could you hear me?
Dale Belt: Yes.
John Short: Yes. Hi, Gary.
Gary Herman: Okay. Hello, just a quick question, John, in the last conference call back in November I had asked you, and I will quote, do you anticipate your needs to raise additional capital at this point in time considering what you have in the bank and anticipated collection from the arbitration award. In November you said, quote, as we're sitting here today, no. With the good performance you had in Q4 and based on your response to my question at that time, why the need to do around the financing last month in the whole as deep as you did?
John Short: Yes, I think there are two pieces to that puzzle, Gary. The first one is we see a need to have additional working capital to support the growth we see in the business and the deal that we did with both the Narula Group and with KER. It's going to add some working capital requirements to the business. And quite honestly, with the release of those escrow funds, dragged on and on and on and on, and you never know -- you know, we spent five years trying to get them, and you never know when they are actually going to release, and we thought it's appropriate to have some capital defensively for the situation down in Brazil.
Gary Herman: Okay. So if I was to ask you the question again now, with what you have in the bank today, the $3 million and where you anticipate the business is going, do you believe as of today as we sit here today, you are good for capital for the remainder of this calendar year?
John Short: We do.
Gary Herman: Okay. Thanks.
John Short: Yes. Thank you.
Operator: Thank you. Our next question is coming from Michael Segal, a Private Investor. Please proceed with your question.
Michael Segal: Yes. Hi, guys. Can you hear me?
John Short: Yes. We hear you.
Michael Segal: About Brazil, in fact [indiscernible] per day in November, are you staying at that run rate…
John Short: What's happening in Brazil these days is a really a function of what is happening in -- with the currency and in the market generally. Bran availability is literally a day-to-day issue depending on how markets and currencies are moving, so to the extent -- pardon, Michael?
Michael Segal: Another issue is if it's like 200 days or 150, what's the difference?
John Short: That isn't the way the business works, but -- so, think about an active market on the commodity side where -- because of international prices, this week nothing is exported, everything has to be pushed into the local market, next week everything is exported, nothing is available for local milling. And these are the kinds of swings we're getting in Brazil right now. So we will have days -- we have a number of days recently where we get some big chunks of bran, and the good news is we can run the plant very stability at and well in excess of 300 tons a day, but it may turn out that our traditional -- I will give you an example, recently -- very recently with the run up of the currency to over four real to the dollar, the guys who were selling, year and a half, two years ago would have -- just think about it in these terms, year and a half ago, the currency was three real to the dollar, the local miller, the local rice grower could grow his rice and husk, he could export it to real for dollar or he would sell into local market. In some level, an equilibrium develops, because Brazilians eat a lot of rice. And all of that sorts out, so that there is enough rice either imported or produced locally, but mostly produced locally for the Brazilian market. When that rice is produced locally for the Brazilian market, Michael, the millers buy from the growers, take the husks off, mill the bran off, and we have bran to run our own facility. So, 18 months ago, two Real to the dollar, you have a certain dynamic. When the currency goes to over four real to the dollar, the same grower says, and that's an exchange rate issue only, right, so the same grower says, I get twice as much money exporting, right? So I'm not going to sell my rice to the local millers, or if I do, I want the same price I can get internationally, if I export my rice. So those growers, those rice growers over the course of last three or four or five or six months have been exporting their rice in wholes, which means no milling. And if there is no milling, there is no bran. What that has resulted in is real dislocation and not a utilization of capacity in the rice milling market in Brazil, we have several of our traditional suppliers of raw rice brand, the guys who normally buy rice locally, take the husk off, mill the bran off, who have temporarily closed their operations down there, because they can't afford to pay the four real per dollar equivalent compared to the two they paid a couple of years ago, they can't make any money, number one; and number two, they can't push it through, the local supermarket change those kinds of prices, because people won't pay those prices for rice. So there the literally millers shutting down operations in Brazil, the less -- the smaller guys and the less financially stable guys, a lot of rice is still being milled, but the prices are moving around, the availability is moving around. So we may get 50 or 100 tons one day and 350 tons the next day. And it really moves around like crazy, and as Dale just commented at the same time the Brazilian economy is living through our 2008-2009. The banks are pulling in their horns, they are pulling back, financing like crazy to everybody, both to the mills, to us, to the supermarkets, everybody else. So there is a real version of the banking crisis we went through, and with all lived that going on, what we get from day-to-day as a function of what mill is operating, whether or not they are getting rice if their traditional vendors are exporting, and it's a real crap shoe. So that is literally what we are living with on a day-to-day basis down in Brazil, what our team is living with and we are averaging slightly under 200 tones a day right now for the last month or so.
Michael Segal: So how are you dealing with that, so you are on short shift, do you have [indiscernible] for a day or …
John Short: Of course we do all of those things and many more.
Michael Segal: An overall picture, mind if you send you the rice is the basic staple food in Brazil, so are you saying people in Brazil eat rice less right now than before you are talking right now…
John Short: Well, you know, it may or may not make sense, but at the end of the day unemployment is going through the roof, inflation is going through the roof, people are putting their hands in their pocket and trying to figure out, how they are going to save money and do more with less money and part of that is they are not willing to pay increase prices for rice. So they probably eat a little bit less, right and that's just, that's the reality of what's going on in - what happened in our economy in 2008, 2009 when this economy collapsed, what happened to consumer spending, same thing is happening in Brazil.
Michael Segal: About are you trying to look for another supplier might be far away like [indiscernible] another couple of mills, so that…
John Short: At some point in the future, strategically if it make sense, Michael, but remember there is a complex, I call it ecosystem in the rice milling industry and where we are, the entire industry is being severely impacted, the amt of milling that's happening in those mills in southern Brazil is being reduced dramatically because the rice is going out in husk and so people have lots of excess capacity they are laying off people, right, left and center in the big mills, some of the smaller mills are shutting down, we - they have a huge recession in Brazil, I don't know if you want to call a recession or depression but minus 3.8% GDP is a big deal and 2016 is a big deal as well, it's going to be another depending on how you talk to, minus one, minus two, minus three, minus four, but this is a complicated situation, where as you guys can imagine. While we let everybody know that last spring in the second quarter, we went through a major downsizing because we said this is getting bad, we need to be positioned for it. That gave us a fairer outcome. We had positive EBIDTA in the last two quarters of the year down in Brazil, but I think that continue to deteriorate and we don't see them getting any better in the short-term, we are going through additional rounds of cost cutting and downsizing because we don't see things getting better and we see things very complicated in the milling world there. So our objective is to hunker down ride out the storm, it is a real storm in Brazil and be in a position when things stabilize and start to move up to take advantage of the investments that we made in the plant down there. We produced spotty, right. When we have bran available, we produce very nicely at 300 tones a day more than plant operates very nicely, right. The problem at this point in time is not the plant or the availability to run the plant at that level, it's a combination of rice being exported, limited amount of bran and the banks not financing the millers or us or anybody else. The market is extremely complicated. So we manage it every single day, we do the kinds of things that you alluded and that Harry alluded to, right now we are not running on Sunday's we are shutting, we are doing all sorts of things to appropriately manage those assets and to protect those assets. So that we can take advantage of them at the point in time, when the economy turns, like all other economy it will turn, the question is how long does it bounce along the bottom, that's where my crystal ball fails me.
Michael Segal: So you say in the real world, there are no big major mills that you could step into to get bran to pretty much…
John Short: Michael, that's not -- Michael that's not the way the industry works. So I mean -– I don't want to give you a simplistic answer to a question that would mislead people. There are 235 mills in Rio Grande within 700 kilometers of us. We deal with between 35 and 40 at any given point in time. With each of those mills that we have relationships with, they may or may not be milling today if they're growers decided to export instead of sell to them. So there's a huge amount of daily management and complexity to this, and it's not a question of walking down the street to the next mill, but we have a very, very strong management team in place that is dealing with that complexity as best they can under very difficult circumstances, though Brazil hasn't seen anything like this for 20 years.
Michael Segal: Yes, but that's still sort of if you could get stabilized bran which, say for [indiscernible] you could kind of manage it much more efficiently if guys have [indiscernible]. So you could pretty much spread it around. See if tomorrow everyone [indiscernible].
John Short: I mean, I think that goes without saying. If we can get all the bran we want at the right price, we can do very well down there.
Michael Segal: That's right, yes.
John Short: That's easy to say though.
Michael Segal: And so how much per quarter do you think you're going to lose in Brazil on cash basis, like the next quarter or…
John Short: Mike, we're not providing any forward-looking financial forecasts.
Michael Segal: Okay, fine.
Operator: Thank you. We have reached the end of our question-and-answer session. I would like to turn the floor back over to management for any further or closing comment.
John Short: We just want to thank everyone for joining today's call. We appreciate the support we've gotten from our shareholders, and investors, and lenders. As we've said throughout the call, we're very excited about the market opportunities, and where our business is heading in the USA segment. We are very closely managing what is clearly a difficult situation in Brazil. And we're in a position, from an operating point of view, to be able to take advantage when that market turns. So we want to thank everybody for supporting us. We appreciate it. That ends the call for today, thank you, operator.
Operator: Thank you. That does conclude today's teleconference. Let me disconnect your line at this time. And have a wonderful day. We thank you for your participation today.